Operator: Good afternoon, everyone and welcome to OraSure Technologies’ 2017 Third Quarter Financial Results Conference Call and simultaneous webcast. As a reminder, today's conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions]. To allow time for as many questions as possible, questioners are asked to limit themselves to only a single question with no more than one follow-up question related to the same topic. Once the follow-up is completed a questioner can rejoin the queue for further questions. OraSure Technologies issued a press release at approximately 4 PM Eastern Standard Time today regarding its 2017 third quarter financial results and certain other matters. The press release is available on our website at www.orasure.com or by calling 610-882-1820. If you go to our website, the press release could be found by opening the Investor Relations page and clicking on the link for press releases. With us today are Doug Michels, President and Chief Executive Officer; and Ron Spair, Chief Operating Officer and Chief Financial Officer. Doug and Ron will begin with opening statements, which will be followed with a question-and-answer session. Before I turn the call over to Doug, you should know that this call may contain certain forward-looking statements, including statements with respect to revenues, expenses, profitability, earnings or loss per share and other financial performance, product development performance, shipments and markets, business plans, regulatory filings and approvals, expectations and strategies. Actual results could be significantly different. Factors that could affect results are discussed more fully in the company's SEC filings including its registration statements, its Annual Report on Form 10-K for the year ended December 31, 2016, its quarterly reports on Form 10-Q, and its other SEC filings. Although forward-looking statements help to provide complete information about future prospects, listeners should keep in mind that forward-looking statements are based solely information available to management as of today. The company undertakes no obligation to update any forward-looking statements to reflect events or circumstances after this call. With that, I would like to turn the call over to Doug Michels.
Doug Michels: Okay. Thank you, Jonnie and good afternoon, everyone and welcome to our call. I'm pleased to report another outstanding quarter. Revenues exceeded our guidance and reached a record level. On the bottom line, our results were strong and they met expectations. The strong quarterly performance is further evidence our products are well suited to address the large market opportunities that we're pursuing in both the molecular collection and infectious disease businesses. We continue to believe that these opportunities are in the very early stages of development and that we are well-positioned to capitalize on them. Additionally, we're making the necessary investments to increase manufacturing capacity in Bethlehem, in Canada and in Thailand to meet the growing demand for our products. Our third quarter performance was primarily driven by growth in our molecular collection and HCV businesses. We also reported strong sales of our OraQuick HIV self-test reflecting the impact of the World Health Organization prequalification, the expansion of the self-testing in Africa or STAR Project and our work under the charitable support agreement with the Gates Foundation. With respect to the quarter, our consolidated net revenues grew 31% compared to the year ago period and topped $42 million the first time. This is the second consecutive quarter of $40 million or more of revenues. Product revenue growth for Q3 was an extraordinary 62%. Our molecular business delivered another record performance. Q3 revenues reached $18.6 million, which represents a 123% increase over the third quarter of last year. Our infectious disease business also performed extremely well with 59% revenue growth from the year ago period. Significant increases in both international and domestic sales of our HCV product and strong growth in HIV self-test revenues were the primary contributors. On the bottom line, we generated $0.09 per share and we ended Q3 with over $180 million in cash and cash equivalents. In short Q3 continued the strong growth we've seen throughout the year and represents further progress in advancing our strategic priorities. We expect this trend to continue in Q4 as well. So, with those brief comments, let me turn the call over to Ron. After his financial review, I'll provide some business updates and then we'll take your questions. So, Ron.
Ron Spair: Okay. Thanks Doug and good afternoon, everyone. As you can see from our press release and Doug's brief introduction, 2017 continues to be a very successful year. Our third quarter consolidated net revenues increased 31% to $42.3 million compared to $32.3 million reported in the third quarter of 2016. Notably our consolidated net product revenues rose 62% to $41.2 million compared to the prior year period. Higher sales of our molecular products OraQuick HCV and the OraQuick HIV self-test were the main drivers of this performance. Our molecular revenues rose 122% to $18.6 million in the third quarter of 2017 compared to $8.3 million in the third quarter of 2016. Sales of our Oragene product to commercial customers increased 157% and academic sales rose 46%, largely due to higher customer demand and customer ordering patterns. International sales of our HCV test in the third quarter of 2017 rose 376% to $6.1 million from $1.3 million in the same period last year, primarily due to the continued shipment of product for foreign government pursuant to a previously announced countrywide elimination program. Domestic OraQuick HCV product sales rose 24% in the third quarter of 2017 to $1.9 million from $1.5 million in the prior year period, primarily due to increased HCV purchases by public health customers. International sales of our HIV test increased 176% to $3.1 million from $1.1 million in the third quarter of 2016, largely due to higher sales of our OraQuick HIV self-test into Africa. The majority of tests shipped into Africa during the quarter were subject to the support payments under our Charitable Support Agreement with the Gates Foundation. Product revenues during the third quarter of 2017 included approximately $458,000 of support payments associated with this agreement. Domestic professional HIV sales decreased 25% to $3.6 million in the third quarter of 2017 compared to $4.9 million in the third quarter of 2016 as a result of competition from other products, customer ordering patterns and some impact from recent severe weather conditions. Other revenues were $1.2 million in the current quarter, representing $939,000 of funding we received from BARDA for our Rapid Ebola and Zika products and $218,000 in reimbursement of certain nonproduct costs under our agreement with the Gates Foundation. This cost reimbursement is separate from the product support payments I previously mentioned. Other revenues in the third quarter of 2016 totaled $6.8 million and included $676,000 in BARDA funding and $6.1 million of exclusivity revenues under the AbbVie HCV Copromotion Agreement, which terminated effective December 31, 2016. Turning to gross margin, our gross margin for the third quarter of 2017 was 58% compared to 70% reported for the third quarter of 2016. Margin for the current quarter decreased primarily due to the absence of AbbVie exclusivity revenues in 2017 as a result of the termination of our agreement at the end of 2016 and increase in lower margin product sales and higher scrap and spoilage costs. Our consolidated operating expenses for the third quarter of 2017 were $17.3 million compared to $16.5 million in the comparable period of 2016. This increase was largely due to higher staffing costs, higher external commissions paid to certain international distributors and an increase in our allowance for doubtful accounts. Income tax expense was $1.7 million in the third quarter of 2017 compared to $400,000 in the same period last year and consists entirely of Canadian taxes due. From a bottom line perspective, we reported net income of $5.8 million or $0.09 per share on a fully diluted basis for the third quarter of 2017, compared to net income of $6.2 million or $0.11 per share for the same period of 2016. Turning briefly to our balance sheet and cash flow, we continue to maintain a solid cash and liquidity position. Our cash and investment balance at September 30, 2017 was $180.3 million compared to $120.9 million at December 31. 2016. Cash generated by operating activities for the first nine months of 2017 was $30.4 million compared to $25.2 million in the same period of 2016. So, turning to guidance for the fourth quarter of 2017, we are projecting consolidated net revenues of approximately $45 million to $46 million. We're also projecting consolidated net income of approximately $0.09 to $0.09 per share for the fourth quarter of 2017. As we look a bit further out to Q1 of 2018, our current thinking is that we may see a step down in our molecular collection systems business due to seasonality associated with our expected performance in Q4 of 2017. This together with what has been a historically lower quarter for infectious disease and cryo surgery revenues, could result in our total Q1 revenues being down sequentially, while being up by about 25% when compared to the first quarter of 2017. We will be finetuning our expectations for Q1 2018 on our fourth quarter call, but we wanted to manage our expectations in advance. And with that, I'll turn the call back over to Doug.
Doug Michels: Okay. Thanks Ron. I'll now provide a few business update starting with our molecular business since that was the most significant contributor to our strong third quarter performance. Our molecular business performed exceptionally well in Q3 as it did during the first half of the year. Revenues in the quarter increased 123% compared to last year and we expect this trend to continue again here in the fourth quarter. Our primary driver was continued growth in our commercial genomics business, both compared to the prior year quarter and sequentially from Q2 of this year. Revenues grew as a result of the addition of new customers and higher sales to many of our largest customers. During the quarter, 16 of our top 20 molecular customers increased our purchases over the prior year period and year-to-date 19 of the top 20 customers generated higher sales when compared to last year. Our genomics business also benefited from higher international sales and expanded adoption of our services offerings. Our international business doubled from the prior year quarter and delivered double-digit sequential growth from Q2. Our GenoFIND service business had another record quarter in the third quarter delivering a fourfold increase from the prior year quarter and double the revenue from the previous quarter. Growth from existing customers as well as the acquisition of new business continues to drive the strong performance of our services business. Finally, we won a significant new contract during the third quarter to provide customized collection devices and GenoFIND services for our pharmacogenomics pilot, focusing on members of a statewide retirement group benefit plan. While this is a pilot program, we believe this could expand into a much broader opportunity, involving a large number of retirees under the plan. In addition, it could serve as a model for adoption by other similar statewide benefit plans, seeking to perform pharmacogenomic testing. On to the microbiome business, that continued to deliver strong revenue performance during the third quarter, which represented a doubling of revenues from the prior year quarter. The ongoing acquisition of new customers and strong repeat business from existing customers in both the academic and commercial markets are driving our microbiome revenues. A growing number of current microbiome customers are repeat purchasers with the largest customers purchasing in more than two quarters during each of the past two years. In addition, our microbiome services offerings are up 250% over the prior year quarter as both academic and commercial customers leverage our end-to-end offerings for sample processing and analysis. Aggregate microbiome revenues during the first three quarters now totaled $2.4 million, which substantially exceeds the $1.1 million recorded for all of 2016. In short, we continue to see strong interest in our microbiome products and services and are very optimistic about the future for this part of the business. In the infectious disease area, the main drivers continue to be international HCV and HIV self-test sales. Our international HCV business continued its strong growth in Q3 largely due to demand for countrywide elimination initiatives and related government supply agreements, which we've previously highlighted. As Ron noted, our Q3 revenues increased 376% compared to the prior-year quarter. We previously mentioned our ongoing discussions with a large government customer to renew our existing supply arrangement. For some time, the indication from this customer has been that the contract would likely be renewed at a volume well in excess of the existing contract. Our renewal discussions continued along these lines until just last week when unfortunately, this customer advised us that it intends to transition its rapid HCV testing to an all laboratory-based model in the next contract period because of budget pressures. This development came as quite a surprise given prior discussions and negotiations with this customer. We've been engaged in discussions for a straightforward renewal and expansion of our supply arrangement. Late in the discussions, the government decided to move to a tender process requiring a broader set of components to support HCV testing. We participated in this tender with our distributor and although we were told that our Hepatitis C test provided the best technical solution to meet their needs, in the end, this customer decided to adopt a laboratory testing solution based solely on cost. The winning bidder apparently offered pricing that was not even close to being economically viable for us. We received repeated feedback from the customer that our HCV test performed very well and that the testing program was extremely successful which made news of the change even more surprising. We continue to believe that our rapid Hepatitis C test can and will perform a much-needed role in broad based Hepatitis C testing programs especially where much of the testing occurs in rural or remote areas of our country. Our OraQuick HCV oral fluid test is ideal for those locations, since laboratory testing requires a blood collection and more involved process to deliver samples to a laboratory. We understand that some officials in this government share this view and continue to advocate for our product. So, we're hopeful that in future periods, we might again participate in this government program with the OraQuick HCV test. In the meantime, the level of interest in HCV testing and treatment remained strong globally and we're continuing our market -- our marketing for product for other large-scale screening programs. Although international programs are increasingly focused on cost, we believe the value proposition for a high quality rapid oral fluid Hepatitis C tests will support participation in these programs. And overall, we remain optimistic about our HCV international business model. On the domestic side, our HCV business grew 24% compared to the prior-year quarter. This growth was driven by expansion of existing programs and the initiation of new testing programs. Given growth in the public health and physician office markets were partially offset by small declines in our hospital business. Despite continued funding challenges domestically, organizations are finding ways to channel resources from other areas into HCV testing and treatment programs. On past calls, we mentioned our work with the Southern cities initiatives. This is a collaboration among OraSure, community-based organizations advocacy groups and certain pharmaceutical companies. This goal is to expand HCV testing to high prevalence, hard to reach populations in urban settings, so that diagnosed individuals can be linked to care. The initial cities targeted include Columbia South Carolina, Birmingham and Tuskegee Alabama and Baton Rouge and New Orleans, Louisiana. During the past nine months, thousands of individuals have been tested with our product and the results indicate a prevalence of almost 10% in these populations tested. We're working to expand this program into other cities. On to international HIV self-testing, our international HIV business turned in a strong performance during the third quarter with growth of our 176% compared to the prior year quarter. This increase was driven primarily by HIV self-testing orders for phase 2 of the STAR Project along with professional product sales in Africa and Asia. During our last call we indicated that Phase 2 of the STAR Project is expected to deploy 4 million self-test and that we expect an additional large order to be shipped prior to year-end, I'm pleased to report that we received this large order and will be shipping product in the fourth quarter. Outside of the STAR Program, we are beginning to see other funding organizations start to fund scale up of HIV self-testing in non-STAR countries. The apparent trigger for this is the receipt of WHO prequalification for our product as we previously disclosed. We're also in discussions with a nongovernmental organization or NGO that expects to initiate HIV self-testing in several countries in West Africa. Although orders are not expected until 2018, this is another indication that momentum behind HIV self-testing continues to build following receipt of our WHO prequalification. Our execution under the Charitable Support agreement with the Gates Foundation also continues to go very well. The relevant health authorities in the 50 countries covered by the agreement have been made aware of our arrangement with Gates and we are beginning to see more sizable orders from countries outside of those covered by the STAR Project. So, our HIV self-testing business continues to grow nicely and we believe this business will be a significant contributor to our infectious disease business in future periods. On the domestic front, there is nothing much change in the trending for our HIV business. The factors underlying the decline in this business are largely the same as we've seen in prior periods. These include the CDCs continued movement for use of fourth generation automated laboratory testing equipment, price competition, funding pressures in the public health market and the timing of orders. The recent severe weather conditions also had an impact on our domestic HIV revenues in the current quarter. Once again, the decline in our third quarter domestic HIV sales was more than offset by the growth in our HCV and our HIV self-test businesses. We expect the challenging market factors will continue to affect our domestic HIV sales in future periods. In prior calls we indicated that the WHO is expected to issue a report regarding its technical review of sputum transport solutions for tuberculosis, including data for our OMNIgene Sputum product. This guidance report was released this past month and indicated that some data was inconclusive. Consequently, further work is required in order to receive a WHO recommendation for routine use. The report indicated that WHO supports the procurement of OMNIgene Sputum for operational research, which we view as positive. This will allow funding organizations to support interested parties doing pilots of various sizes. Going forward we'll be working with the WHO to define the additional data required to support a recommendation for routine use of our OMNIgene Sputum and we'll be working with our customers to generate that data. In the area of emerging diseases, I only have one item to address and that relate to our new Zika test. We have previously indicated that we expect to submit for emergency use authorization or EUA from the FDA in Q4 of this year and unfortunately because of ongoing technical challenges with the test, this submission will likely be pushed into 2018. We remain committed to obtaining EUA approval and successfully commercializing this test. And the final area I'd like to address is our effort to expand manufacturing capacity to meet the increasing demand for our products. We've made really good progress in a number of areas. Our second automated OraQuick production line is now operational and is running on two shifts. Work with the supplier for our third automated OraQuick line is also progressing nicely. This equipment is now in the design phase and is expected to be installed in mid-2018 with full operation by the end of the year or early 2019. The additional capacity at our Thailand contractor has also progressed and the new assembly equipment has now been installed. We expect validation of this equipment to be completed by year-end with regulatory approvals received in early 2018. Our Thailand contractor is used for the supply non-U.S. and non-CE Mark, OraQuick HIV product primarily in developing countries. Given the strength that we're seeing in our self-testing business, we're now planning to build two additional lines in Thailand in 2018 to provide for additional capacity. A new automated assembly line for Oragene DNA collection kits was put into operation in mid-October and yet another automated line is being built and is scheduled for delivery in late December or early January with operation expected in March or April of next year. And finally, we also recently signed a lease for a new warehouse near our Bethlehem facility as part of our capacity expansion project. Construction of the warehouse is expected to be completed by February 1, 2018 and should be fully functional no later than April 1 of 2018. So, in summary our Q3 performance was very strong. We will continue to focus on expanding the use of our products around the globe, consistent with our strategic priorities. We're making the necessary investments in our manufacturing capacity to meet future demands and to capitalize on the many opportunities before us and we expect the recent trends in our business will continue through the remainder of 2017 and we expect to enter 2018 with solid momentum. So, with that, we can now take your questions. And operator, if you would proceed. Question-and-Answer Session
Operator: [Operator instructions] Our first question comes from the line of Brandon Couillard from Jefferies. Sir your line is now open.
Brandon Couillard: Thanks. Good afternoon. Doug with respect to the single large countrywide elimination contract that you spoke about, I guess could you give us a sense of whether that development has changed? How you're thinking about your capacity expansion plans and how you would characterize your level of visibility around the potentially signing one or more other contracts to sort of fill that hole that you'll be facing next year?
Doug Michels: Yeah. So, thanks for the question Brandon. Obviously, it was a disappointment that contract was not renewed, despite the fact that we've been in renewal discussions for quite some time and we were told that we should expect a renewal actually, we were shown documents that represented the request from the Ministry of health to the finance authorities for not only renewal but a substantial increase in the number of test that likely be contracted for. So, it was quite a surprise unfortunately that we received last week. That being said, it doesn't dampen our enthusiasm for hepatitis C eradication programs and the use of our product in those programs and we continue to be engaged with a number of different countries on their program design and what they're anticipating to do. Certainly, as we've indicated previously, the challenge is funding in many cases and the timing is always very, very challenging because of everything that has to be put in place to execute one of one of these programs right. It's not just about screening, but it's also about getting the confirmatory testing completed. It's also critically important that the drugs are available to the individuals who are diagnosed positive and all that has to come together in these eradication programs. So, we continue to be enthusiastic and optimistic. Our test is ideally designed for these kinds of programs and were to continue to pursue them. Relative to our capacity expansion plans, this doesn't dampen those whatsoever. We continue to expect increased demand for both hepatitis C and our HIV testing products, both domestic as well as internationally and we're going to continue to execute on expanding our capacities to be prepared for that increased demand and that's only part of it right because of the other component is the expansion of our molecular capacity and all those programs are going along really well.
Brandon Couillard: Okay. Then maybe a two-part question for Ron, if I can if you look in the third quarter the international HCV revenues, I believe the third quarter if we look back at the $80 million country, the third quarter was to see the largest of the contribution from that a contract, could you give us an update on how much of that we booked in the third quarter. And then as we look into the fourth, how -- in terms of, like the revenue and EPS is that implied like another step down sequentially in terms of gross margins right.
Ron Spair: Right. So, in the third quarter of 2017, we recognized approximately $4.7 million worth of revenues from the large countrywide elimination eradication program in revenues and in the fourth quarter of 2017 here we are not forecasting any revenues in our guidance of $45 million to $46 million. We do have probably a small de-minimum amount of shipments that we will have made to that country in Q4, but it's very small.
Brandon Couillard: Okay. Thank you.
Ron Spair: Yeah. Okay. Thanks Brandon.
Operator: And our next question comes from the line of Andrew Cooper from Raymond James. Sir your line is now open.
Andrew Cooper: Hey guys. Thanks for the question. Just wanted to look at DNA Genotek, as we think about where the growth has come from, could you remind us the breakout of academic versus commercial and then as we think about moving forward this year and beyond, what sort of seasonality we might expect given that I know you had 23 very successful prime day for example in July and the holiday season would a little bit of space. So just wanted to get a little bit of your thoughts on that please?
Ron Spair: Yeah. So, we do see that the academic as mentioned picked up approximately 46% over the prior quarter and the prior year's quarter and we also had quite a large step up in our commercial revenues for the third quarter over the comparable period. And as Doug mentioned, microbiome was also well in access of where our performance was. Looking forward into the fourth quarter, we do sense although we don't know definitively, but we do sense that there is some seasonality associated with some of the consumer genetic testing opportunities that are being pursued by a number of our customers and we expect that to accelerate over the next couple of months here and then likely not be replicated in the first quarter of 2018, although I think we still reserve the right obviously to come back to you with further color on the first quarter of 2018 as we actually move into that period and will update you on our fourth quarter call in February. So, I think it's a bit of a learning experience for us as this is really the first year where we have a significant number of customers operating in that space and we're anxious to see their successes and want to be fully supportive of their needs as we move through the balance of 2017 here.
Doug Michels: It's really of their, just to add to that, it's really one of the reasons why on our last call, we forecast a sequential growth from Q3 to Q4 and its one of the reasons why we want to give you some commentary on Q1 so that our expectations are somewhat aligned. But as Ron indicated, I think we'll have a better perspective a year from now again as we see these businesses go through different cycles, but nonetheless across both the commercial as well as academic customer set, the molecular businesses is doing really, really well. A small thing but I mentioned, because I went back and looked historically the $3.2 million that we delivered in Q3 as is the best quarter ever for our academic business. Going back to the first quarter of 2016 it was the only one quarter where we did a little bit better. We did $3.3 million. So, it gives you a perspective, the academic business is performing really well. Obviously, the commercial businesses is killing it and the microbiome business continues to perform. So, it really gives us a lot of confidence and very enthusiastic about how that business is going to deliver not just in the fourth quarter but in 2018 as well.
Andrew Cooper: Great. That's really helpful. And then just one quick one on gross margins, I know you called out a little bit of spoilage in the press release, but if you could maybe help us size how much of that was a little shy versus what we thought? How much of that is spoilage versus just a mix dynamic or if there was anything else going on underlying?
Ron Spair: Yeah. That's a great question and happy to share a little bit more color on that with you. We did have a production in the third quarter of 2017 that involved our HCV product and a component that was being used in our production process that unknowingly was a defective piece of equipment that has been supplied to us. And because of certain reactions that were occurring with our product and the piece of equipment, we ended up scrapping many lots of products and totaled about $600,000 worth of scrapping a quarter. And so, it was a pretty significant negative contributor to our gross margin performance in the third quarter. Good news is that the team did an exhaustive job of tracking down the root cause of this production problem and we have switched out the piece of equipment that was being used and we are currently in discussions to recoup what we can on the cost that we experienced here during the third quarter and actually some in the second quarter of 2017. So more to come on that, but that's some additional color for impacts on gross margin in Q3.
Andrew Cooper: And did that issue have potential impact on timing of shipments or delays that could have maybe impacted the big eradication contract or no, everything was still shipped on time just at a higher cost yield?
Ron Spair: No, thankfully not. We did not have any implications on our shipment schedule, nor we see the product by the focusing country.
Doug Michels: Let me just add to that. this was an issue that was identified through our quality control program. We have a robust quality management system. So, it detects any issues well before product is approved for release to customers and so kudos to our quality team and our operations team for identifying the problem. Unfortunately, it didn't cause us to scrap a fair amount of product and incur that cost as Ron described, but no impact to deliveries, no impact to quality to our customers whatsoever.
Andrew Cooper: Great. Thanks. Congrats on the good quarter and I'll follow-up offline.
Doug Michels: You bet, thanks.
Ron Spair: Thanks Andrew.
Operator: Our next question comes from the line of Drew Jones from Stephens. Your line is now open.
Drew Jones: Thanks guys. Good afternoon.
Doug Michels: Hi Drew.
Ron Spair: Hey Drew.
Drew Jones: Looking at the 4Q guidance, what implied there as far as HIV self-test?
Doug Michels: We generally do not drill down into the individual product contributions from a revenue perspective, but I will say it certainly is a step up from our third quarter performance as we're beginning to build traction in that marketplace and we're very excited about the opportunity that have now accrued to us as a result the WHO prequalification, the implementation of the Gates Agreement and just a broad dissemination of the product's availability to the countries that are being targeted. So, we're seeing good pull through of product there and Q4 does represent a substantial step up, but I really don't want to quantify the precise amount.
Drew Jones: Understood and then transitioning over to Hep C and eradication programs, I think you guys have said in the past that you are in discussions with six of the 50 countries that were pursuing eradication programs. Can you give us an update on how have those discussions progressed and have you expanded discussions to other countries?
Doug Michels: We continue to be engaged with at least six. There are actually more that we're in discussions with and like I said previously, the challenge is to predict when those are going to translate into substantial orders. But as I mentioned there is a large number of countries that both have developed hepatitis C eradication programs and are considering and actually planning for broad-based hepatitis C screening programs and we're in discussions with those. As we are more to say about specific opportunities as they come our way we'll certainly update you.
Drew Jones: Thank guys.
Doug Michels: Thank you.
Ron Spair: Thanks, Drew.
Operator: [Operator instructions] Our next question comes from the line of David Westenberg from C.L. King. Your line is now open.
David Westenberg: Hey guys, congrats. So just on the HIV business, the domestic business, I know that just the trends in HIV testing in domestically have not necessarily been very good tailwind, obviously they’ve been headwinds, but I trended down a lot further than me. So, can you discuss what might be the new normal here in terms of what we should expect in that business?
Doug Michels: Yeah, I think there is a little bit of ordering patterns in what you saw in the third quarter results. I think we're going to see some improvement in Q4 in the domestic HIV business, but it doesn't change what we described as a difficult market where overall HIV testing volumes are down, where we're seeing pressure on rapid HIV testing and a shift to laboratory-based HIV testing primarily to capitalize on the benefit of the fourth-generation automated laboratory tests are available. So, all we can really say is those pressures are going to continue, although we will see some improvement in Q4.
David Westenberg: Got it, thanks and can you run through the process of when you're engaging and the steps that you're in for getting a country, you named six countries that you're in discussion with, just give us a play-by-play on how it works and I understand that most countries are going to be different and what I'm really going after here is you have the baseline business from 2016 and then you have this deal that you have for the majority of 2017. I am trying to just figure out in the context of not renewing this deal but you have other deals that are or other arrangement that you're working on. Just run through the process, so we can understand how to model or how to think about that business as you engage with other countries and organizations?
Doug Michels: Dave, I wish there was a playbook. These are new programs that are being contemplated and they vary by the size of the country, the population, the prevalence of hepatitis C, the budget dollars that are available. I can't answer, I can say that in all cases there has to be a provision for the drug. There has to be a budget and an expected way to deploy these tests. Those are the discussions that we engage with in at the country level, both at the political and policymaker level, all the way down to the organizations within country that are charged with deploying these tests whether it's in urban area or in a more rural area and you've seen one, you've seen one. And that's just the way it is. We got good folks on the ground that are working and they engage in these discussions, but given the complex nature of these, it's an involved process and I know you look at cookie-cutter approach to it, unfortunately it just doesn't exist.
David Westenberg: Yeah. Let me ask this question another way, in terms of what you see for 2018, relative to what you saw in 2016, before this deal in that HCV business, is it better business today than it was in 2016 internationally? You don't need to necessarily quantify specifically, but just the way we think about that in terms of should we be looking at a more steady business on a go forward basis or is it just going to be so bullet and lumpy that it's not even bit worthy or not even worth it to really dive too deep?
Doug Michels: Well, so absent the renewal of this large government contract, our enthusiasm for the other opportunity I would say remains intact. So, no less -- no change in that regard. We believe it's a large opportunity governments have these policies in place and an increasing number of governments are putting them in place to develop hepatitis elimination programs and we're just going to continue to pursue them. We believe we'll be able to capture them.
David Westenberg: Got it. Great, great. And then I've just one more on -- would you be willing to break out the contribution from microbiome or is it still too early to really want me to quantify it yet.
Doug Michels: It's easily quantified. We did about $1.1 million in 2016. We've done well more than that. We're on track to deliver about $3 million for the full year here 2017. As we look ahead so we're going to more than double our microbiome revenues this year. I think we see a path to doubling them again in 2018 and there's a number of drivers that give us a lot of encouragement for that, not the least of which is increased funding at the NIH level for microbiome research. Microbiome research continues to capture a larger percentage of the total genomics research business. There's interest in new sample types, which we're pursuing despite the fact that gut microbiome or fecal samples continue to be the dominant specimen type and the largest -- fastest growing specimen type, we're well positioned to capitalize on the interest in new sample types. We look at patent filings as an indicator of where the business is heading and we see a continuous increase in patent filings over the last four or five years. We monitor the number of active clinical studies that are going on around the world. That continues to increase and interestingly enough over 80% of them include stool samples as a specimen type. And I think as the cost of sequencing comes down what we're also seeing is a larger average clinical study size in the microbiome space. So, there's a lot of drivers that we see that really but wind in the sales of our microbiome business and we're really well positioned to capitalize on that.
Ron Spair: Yeah Dave, Doug dedicated in the call that we've done $2.4 million in microbiome revenues year-to-date.
David Westenberg: Okay. Perfect. Thank you very much and congrats on a good quarter.
Ron Spair: Thanks Dave.
Operator: Our next question comes from the line of Mark Massaro from Canaccord Genuity. Sir your line is now open.
Max Masucci: Hi. Good morning. Max Masucci on for Mark. Can you speak to the strength in your Q4 guidance? Is this mainly driven by a favorable seasonality in personal genomics and also looking forward do you expect to fulfill the complete $80 million from the original HCV eradication contract?
Doug Michels: Okay. So, the Q4 guidance is strength pretty much across the board. We see it in our infectious disease business. Our molecular business is particularly strong and we are anticipating a good uplift from the seasonality that we see in our commercial business. It's a big driver. We see a little bit of improvement in our cryosurgery business and as Ron mentioned specific to additional revenues expected from the large government contract, we don't have any significant revenues in the fourth quarter from that agreement.
Max Masucci: Okay. Great. So just looking for some additional color on gross margins I know we saw a slight dip quarter-over-quarter, what portion of this was to due to where you identify the scraping spoilage costs and what portion was due to mix? Any color there would be great.
Doug Michels: Yes, I think as we talked about earlier in response to a question posed, we recorded a little over $600,000 worth of charges associated with the specific issues that we had related to the HCV product and the equipment and I would say that beyond that you're looking really at mix as a potential contributor to the gross margin profile in the quarter as the self-test revenues increased as well as we had nice recurring bolus of revenues from the HCV product sales into the countrywide eradication program. So, they were other contributors for our gross margin step down in Q3
Max Masucci: Okay. Thank you.
Operator: And that brings the end to the Q&A session of today's call. I will now turn the call over to Doug Michels for closing remarks.
Doug Michels: Okay. Just thanks again everybody for being on the call with us this evening, this afternoon. We look forward to delivering real strong Q4 closeout 2017 and in great form and look forward to updating you all on our next call. Have a good evening.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.